Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the Brandywine Realty Trust Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference may be recorded. [Operator Instructions] I would now like to hand the conference over to your speaker host today Mr. Gerard Sweeney, President and CEO. Please go ahead, sir.
Jerry Sweeney: Olivia, thank you very much. Good morning, everyone, and thank you all for participating in our third quarter 2021 earnings call. On today's call with me are George Johnstone, our Executive Vice President of Operations; Dan Palazzo, our Vice President and Chief Accounting Officer; and Tom Wirth, our Executive Vice President, and Chief Financial Officer. Prior to beginning, certain information discussed during our call may constitute forward-looking statements within the meaning of the Federal Securities Law. Although, we believe these estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. For further information on factors that could impact our anticipated results, please reference our press release, as well as our most recent annual and quarterly reports that we file with the SEC. Well, first and foremost, we hope that you and yours continue to be safe, happy, healthy, and engaged. And I think looking at our business, despite reopening delays related to the Delta variant, the office market continues to improve, tour activity, lease negotiations, and deal executions remain on a positive trend line. Our portfolio occupancy has increased to approximately 35%. The predominance of tenants returning has though expanded beyond just small employers as occupancy for tenants 50,000 square feet and below is now over 50%. During our prepared comments, we'll review our third quarter results, discuss progress on our business plan and update you on our recent capital and development activity. Tom will then also provide a financial overview and after that Dan, George, Tom, and I are available to answer any questions you may have. From a portfolio management standpoint, we remain focused on reducing forward rollover and providing a solid platform for growth. These efforts have been successful. We have reduced our forward rollover exposure through 2024 to an average of 6.8%, a slight improvement over last quarter. Our forecasted rollover exposure is now below 10% annually through 2026. Revenue and earnings growth remain a top priority. Key near-term earnings drivers for us are, as you all know, we have several key vacancies that upon lease-up will generate between $0.07 and $0.10 per share of growth. And we're delighted to report that we have now leased about 46% of that targeted square footage and achieved about 45% of that forward revenue growth at an average mark-to-market of 12% cash and 19% GAAP and that income will be substantially in place by the third quarter of 2022, which can create a good growth opportunity for us. Some notable components of that during the quarter, the last 38,000 square feet vacated by SHI in Austin has been leased and we've also signed a replacement lease for the 42,000 square feet tenant in Radnor, Pennsylvania. And lastly, we did sign three new leases at Commerce Square, totaling just shy of 29,000 square feet. We do see clear trend lines of tenants requiring higher quality space which we do think positions our portfolio extremely well. From a financial standpoint for the third quarter, we posted FFO of $0.35 per share, which is 1% per share above consensus estimates, which Tom will walk you through. We've also made excellent progress on all the other components of our 2021 business plan. We do anticipate about 100,000 square feet of positive absorption during the fourth quarter and we will achieve our year-end occupancy and lease percentage guidance ranges. And to reinforce our leasing progress to date, we are increasing our speculative revenue target by $500,000 from our mid-point range of $20.5 million to $21 million, and we are over 99% complete on that revised target. It's important to note that $21 million target that we're now circling is about 15% above the bottom end of our original range and it does reflect ever-improving office market conditions. Looking at some other operating statistics, we also posted great results there for the quarter as well. Tenant retention was above our 2021 business plan range. Of the 59 new deals that we signed this year, the weighted average lease term is 7.8 years, 68% of those lease terms are longer than four years, and our medium lease term has remained fairly consistent with what we were able to achieve in 2018, '19, and in 2020. Third quarter capital cost came in below 8% of generated revenue, so well within our business plan range. Cash mark-to-market was a positive 12% and our GAAP mark-to-market was a positive 16%. Our year-to-date mark-to-market results are above our full-year ranges. However, as we noted on last quarter's call, based on leases already executed and commencing in the fourth quarter with lower mark-to-market results, we will finish the year within our business plan ranges, we also expect that every region will post positive mark-to-market results on both a cash and GAAP basis this year. Our third quarter GAAP same-store NOI was 2% and year-to-date results are within our '21 range, Our third quarter cash same-store NOI was 5.5% and above our 2021 range of 3% to 5%, but again, similar to our mark-to-market dynamic, tenants scheduled to take occupancy later this year will accelerate same-store growth and will enable us to achieve our 2021 business plan ranges. We are still forecasting a '21 year-end debt-to-EBITDA in the range of 6.3 times to 6.5 times. And looking at leasing velocity, we know that everyone is keenly focused on recovery data points and we have several encouraging signs to report. The Philadelphia suburban market produced more than 350,000 square feet of leasing activity in the second quarter, a 42.7% increase quarter-over-quarter. The CBD market also posted 181,000 square feet of leasing activity, and Philadelphia generally is making a strong recovery from the pandemic in comparison to a number of other major American cities. Our vacancy rate is lower than the national average and based upon a major brokerage report, Philadelphia is in the top 10 of all American cities for pandemic recovery as measured by recovery rates and employment, vaccination, and leasing activity. During the quarter, we had a total of over 1,500 virtual tours that inspected over 758,000 square feet in line with second-quarter results. Physical tours were down slightly over the second - from the second quarter and we attribute this really more to the summer months as third quarter physical tours outpace first quarter tours by over 13%. Our overall pipeline stands at 1.6 million square feet, which increased by about 600,000 square feet during the quarter, another good sign up more tenants entering the marketplace. And while these recovery data points are encouraging, they also do compare favorably to the pre-pandemic leasing trends. So our pipeline today is 7% better than our third quarter '19 results. Deal conversion rate was on par with previous quarter results as well. Now, as you might expect and we reported last quarter, median deal cycle time continues to trail pre-pandemic levels by approximately 30 days. But on very positive note, during the quarter, we executed 464,000 square feet of leases, including 347,000 square feet of new leasing activity. We also continue to see two favourable trends that we think positively impact our portfolio. First, quality product does matter. Since the beginning of the pandemic, approximately 100,000 square feet of deals have moved up into Brandywine buildings versus lower quality competitors. Secondly, we have seen approximately 20 tenants expand their premises by approximately 122,000 square feet since the beginning of the pandemic. And looking at our liquidity and dividend coverages, as Tom will report, we have excellent liquidity and anticipate having approximately $550 million available on our line of credit by the end of the year. We have no unsecured bond maturities until 2023, have a weighted average effective rate of 3.73%, and a fully unencumbered wholly-owned asset base. Our dividend remains extremely well covered with a 54% FFO and 81% CAD payout ratio. And as we noted, our five-year dividend growth rate has been 5.3%, while our five-year CAD growth rate has been just shy of 8%, well in excess of our core peer averages. From a capital allocation standpoint, it was frankly another quiet quarter, but we continue to make progress on many other fronts. As part of our land recycling program, we did sell three non-core land parcels generating just shy of $11 million of proceeds and at a $900,000 gain. Also, as we noted in our supplemental package, during the quarter, our $50 million preferred equity investment in two office properties in Austin, Texas were redeemed. We did record a $2.8 million incremental investment income during the quarter due to that early redemption. That $50 million preferred equity generated just shy of 21% internal rate of return during the whole period. Taking a quick look at our development opportunity set, 250 King of Prussia Road, which we noted in our supplemental package, is a 169,000 square feet project under renovation in the Radnor sub-market. That was started in the second quarter and will be wrapped up by the second quarter of 2022. The project will accommodate heavy life science as well as offices. Our cost did increase quarter-over-quarter due to some additional MEP work to facilitate broader life science penetration, as well as us adding an additional generator for power redundancy. Those two items did impact our targeted yields by reducing about 20 basis points. The project, as we noted before, is really the first delivery in our Radnor Life Science Center, which will consist of more than 300,000 of life science space in one of the region's best-performing sub-markets. Our current pipeline for 250 King of Prussia Road totals more than 200,000 square feet, including 51,000 square feet in lease negotiations. Looking at Schuylkill Yards, our Schuylkill Yards West project is on time, on budget for a Q3 2023 delivery. That project will be delivered at 7% blended yield. As you may recall, it consists of 326 apartment units, 200,000 square feet of commercial and life science space, and 9,000 square feet of street-level retail. We have an active pipeline continuing to build on that project and our $56.8 million equity commitment is fully funded. Our partner's equity investment is currently being made and the construction loan that we closed recently really will not have its first funding until the first quarter of 2022. Looking at 405 Colorado in Austin, Texas, this project is now complete. During the quarter, we did increase our lease percentage from 24% to 44%. We do have a growing and active pipeline now that that building has been fully delivered. We did slide our stabilization date a couple of quarters to reflect the timing of these new lease signings, as well as the timing of our targeted pipeline. The 522 space garage did open during the summer and is currently just shy of about 12% occupied and we have signed already 102 monthly contracts since we opened the garage. 3000 Market Street in University City, Philadelphia, is a 91,000 square feet life science renovation as part of our Schuylkill Yards neighborhood. Base building construction is complete. The building is fully leased for 12 years at a development yield of 9.6%. The redevelopment did include increasing the building size from 64,000 to 91,000 by converting below-grade space into labs. This property was placed into service on October 1st. Cira Labs, which we announced a couple of quarters ago, where we partnered with PA Biotech Center to create a 50,000 square foot, 239-seat life science incubator within the Cira Center project. That will be completed later in the fourth quarter and will open January 1, 2022. Since the announcement, we have had great leasing success, and now, stand just shy of 50%, about 49% leased with 118 of that 239 seats leased, and a pipeline with 17 additional proposals aggregating more seats than we have available capacity. So very excited about delivering that project on a substantially pre-leased basis. And just looking at some future development at Schuylkill Yards and Broadmoor, within Schuylkill Yards the life science push really continues. We can develop about 3 million square feet of life science space. We've already delivered 3000 Market, The Bulletin Building, 3151 Market, which is our 424,000 net rentable square feet life science building, is fully designed, ready-to-go, and with a strong leasing pipeline and our goal remains to be able to start that project in early '22 assuming market conditions permit and the pipeline continues to build. At Broadmoor Block A, which consists of 363,000 square feet of office and 341 apartments at a total cost of $321 million, will be starting later in the fourth quarter. We are finalizing documentation, including construction financing with our partner. The first phase of Block F, which is 272 apartment units, will be starting in the same venture format in Q1 of '22, and on the office leasing component, our leasing pipeline right now is slightly over 500,000 square feet with about an additional 1.5 million square feet of inquiries. Just one additional note related to our third quarter earnings cycle. As we outlined last quarter, we would normally have provided '22 guidance for earnings and our business plan and FFO during the third quarter cycle. However, consistent with what we did last year, and based on the continued uncertain business climate, we will announce our '22 guidance on our fourth quarter earnings call. Tom will now provide an overview of our financial results.
Tom Wirth: Thank you, Gerard. Our third quarter net income totaled $900,000, or $0.01 per diluted share, and our FFO totaled $61.1 million, or $0.35 per diluted share and that was $0.01 above consensus estimates. Some general observations about the third quarter. While our results were above consensus, there were a number of moving pieces and several variances to our second quarter guidance. Portfolio operating income at $68.5 million was in line with our guidance in the second quarter. Interest and investment income totaled $4.5 million and was $2.5 million above our $2 million guidance number. As Jerry mentioned, this variance was due to the early termination of a $50 million preferred equity investment, which resulted in the acceleration of some fees totaling about $1.5 million and some make-whole interest on the investment income side of about $1.3 million. That all was recorded in the third quarter. We forecasted $2.3 million in land gains and tax provision, which was $1.4 million below our actual results. Two land sales were delayed and we believe they will both close in the fourth quarter. As a result of those two, that nets to a $0.01 increase, so the reason we're above consensus. Interest expense of $15.2 million was below our second quarter forecast by $800,000, and that was primarily due to higher than anticipated capitalized interest on a 405 Colorado. Termination and other income totaled $1.8 million and was $400,000 above second quarter forecast, primarily due to the timing of some anticipated transactions. G&A was $7.1 million, $400,000 below our $7.5 million second-quarter guidance and that was primarily due to lower employee costs. Our third quarter fixed charge and interest coverage ratios were 4.3 and 4.1, respectively, both metrics improved from the second quarter primarily due to the higher investment income. Our third quarter annualized net debt to EBITDA decreased to 6.5 and is currently at the high end of our 6.3 to 6.5 guidance. This metric also benefits from the increased investment income. On the additional reporting, as we look at cash collections, they were over 99%, continued to be very strong. We did have some net operating write-offs of tenants that totaled about $700,000, and did lower our portfolio operating income for the quarter. For portfolio changes, 3000 Market, based on Brandywine completing our base building obligations, 3000 Market will be added to our core portfolio during the fourth quarter as it's 100% leased life science to Spark Therapeutics. Looking at fourth-quarter guidance for 2021, we anticipate the fourth quarter results to improve compared to the third quarter and we have some of the following assumptions. Portfolio operating income will total $70 million and will be sequentially higher than the third quarter. That's due to the approximately 212,000 square feet that's going to be moving in during the quarter at a positive mark-to-market and will commence and in addition to 3000 Market. FFO contribution from unconsolidated joint ventures will total about $6.1 million for the fourth quarter, relatively flat compared to the third quarter. G&A will total roughly $7.1 million, again, sequentially flat to the third quarter. Interest expense will be approximately $15.5 million, with approximately $2 million of capitalized interest. Termination fees and other income should total about $2.5 million. Net management fees will be about $3 million, and interest and investment income of about $400,000. We do anticipate land sales and tax provision to be about $1.3 million, mainly based on the slides from the land sales that didn't occur in the third quarter, and this will generate about $6 million in net cash proceeds. On other business plan assumptions, there will be no property acquisitions. We did note one JV sale in our all-state portfolio, which should generate about $12 million of net cash proceeds, no anticipated ATM or share buyback activity, no financing or refinancing activity in the quarter, and our share count will be about 73.5 million diluted shares. On the financing front, as previously mentioned, we did close on our construction loan at Schuylkill Yards, which represents a 65% estimated loan to cost. Initial interest rate will be about 3.75%. Based on our current capital plan, we will start drawing on that during the fourth quarter of 2022. We plan to restructure and extend our current loan encumbering our joint venture at 4040 Wilson and that will lower our borrowing costs by about 100 basis points, generate minimal initial proceeds, but allow for increased borrowings to complete the leasing of the vacant office space. While we have no other financing or refinancing activity in our plan, we continue to monitor the debt markets ahead of our 2023 secured bond maturity. Looking at our capital plan, our second quarter CAD was 65% of our common dividend and year-to-date coverage is within our range. Our fourth quarter 2021 capital plan is very straightforward at $140 million, it includes $70 million of development and redevelopment activity, $33 million of common dividends, $15 million of revenue maintain, and $15 million of revenue create capital expenditures and contributions to our joint ventures totaling about $5 million. The primary sources will be cash flow from interest payments - after interest payments of $38 million, $22 million use of the line of credit, $42 million cash on hand, and other sales and land totaling about $18 million. Based on our capital plan, we will have about $558 million available on line of credit. The increase on the projected line of credit is partially due to the build-out of our incubator at Cira Center and we also project the net debt to EBITDA to fall within the 6.3 to 6.5 range with a big variable being the timing and scope of capital development payments that could reduce cash. Our net debt to GAV will be 39% to 40%. In addition, we anticipate our fixed charge ratios to approximate 3.6% on interest coverage and will approximate 3.9% - sorry, fixed charge of 3.6%, interest coverage of 3.9%, which represents sequential decrease, again, primarily due to some of the investment income that we received in the third quarter. I'll now turn the call back over to Gerard.
George Johnstone: Great, Tom. Thank you very much. So the key takeaways as we wrap up our prepared comments - the portfolio and operations are in excellent shape. We've made some really good progress on both building the pipeline, as well as beginning the process of significantly filling some of those larger vacancies we have. That will be a great growth driver as you look at over the next couple of years. And also, the leasing pipeline certainly continues to increase as tenants return to the workplace. That pace is not as fast as any of us would like, but we certainly are seeing a lot of green shoots in terms of more tenancies coming into the market. And along those lines, we actually do expect as we're beginning to see now a compression of decision timelines later in the year and into early '22, and we are certainly anticipating a continuation of positive mark-to-markets driven by improving market conditions, as well as the necessity of having higher rents based on escalating construction prices. Safety, health and amenity programs, both in design and execution, are remaining a top priority of all prospects, large and small, and based on that, we really do believe that new development and our trophy inventory stock will remain in a very positive position. We are very much focused on our two forward growth drivers, both delivering additional products within Schuylkill Yards, leasing up what we have under development, and are delighted to be moving forward on the first phase of Broadmoor later this year and into the first quarter of '22. The success we've had at 3000 Market, The Bulletin Building, just reported results on Cira Labs, as well as a focus on starting 3151 early next year, will have over 1 million square feet of life science space operating or under construction, which starts to build that base of revenue diversification that we've talked about. We certainly are very focused on continuing to grow cash flow and our attractive CAD growth over the last five years has really resulted in a well-covered and attractive dividend that's poised to grow as we increase earnings. And then, just a final comment on financing and capital availability. Private equity remains readily available at very effective pricing, as well as we all know it's a very competitive and advantageously priced debt market. Strong operating and development platforms like Brandywine have significant traction for project-level investments, as certainly is evidenced by what we've demonstrated thus far at Broadmoor and Schuylkill Yards. So we really do believe there is readily executable attractive financing available for development at very attractive third-party equity cost of capital. And as usual we'll end where we started, which is that, we really do wish you and all of your families well. And with that, Olivia, open up the floor for questions. We do ask that in the interest of time, you limit yourself to one question and a follow-up.
Operator: [Operator Instructions] And our first question is coming from the line of Jamie Feldman with Bank of America. Your line is open.
Jamie Feldman: Thank you and good morning. So I think you had mentioned the - leasing pipeline is now 1.6 million square feet up 600,000 square feet quarter-over-quarter. Can you just talk about the big moves in there and what the incremental 600,000 is and just a little more color and – how of its development and then by market?
George Johnstone: Sure Jamie good morning this George I’ll be happy to answer. So as we always report pipeline on these calls it’s exclusive of any of our development project. So it really is just core portfolio and composition of that 1.6 million square feet is 1.2 million square feet of new deals and about 400,000 square feet of renewals. And it’s fairly evenly spread amongst the regions about 400,000 square feet in Austin, 300,000 square feet D.C just north of a 0.5 million square feet in the Pennsylvania suburbs and about 400,000 square feet in CBD. So that roll forward we had, last quarter had reported a pipeline, we subtract from that the deals we execute during the quarter and then add to that the deals that come into the pipeline. So we're seeing a good mix of activity, both renewals, there are tenants that are willing to make some decisions and are entertaining proposals. And then on the new square footage, we're extremely pleased with the level we achieved in the third quarter and with the pipeline that we see moving forward to build 2022.
Jamie Feldman: So the incremental 600,000 square feet, I mean how would you characterize that? Is it tenants that were hesitant to make a decision and now looking more active or I'm just trying to think what's changed here so much?
George Johnstone: Well, I think again it's tenants that are just looking to a combination of make decisions because they know their return to work horizon is a little bit more in the near-term now as the first year approaches, flight to quality, as Jerry mentioned in his commentary. And then we did have a couple of larger renewals that have 2023 and beyond expirations that are looking to maybe encompass some type of a blend and extend it end of the pipeline.
Jerry Sweeney: Yes Jamie, Jerry. I think just to add on to George's good comments, I think with the economy really starting to reopen and there’re more of a defined path of return to the workplace. I think we're generally seeing a much more active dialog from both - the brokerage community, tenant reps, as well as prospects themselves just trying to really think through their space options looking ahead to 2022. And I think for a couple of quarters, we weren't sure what the pace of that would be, but certainly, since Labor Day, we've seen a pretty nice uptick just in activity generally across the board. So we're actually pretty pleased that there is not like one sub-market leading that. We're still seeing good activity in the Pennsylvania suburbs, particularly Radnor, the King of Prussia, Conshohocken corridors. A CBD activity, which as you know, we talked about last quarter was slow to recover, that heated up nicely in the last couple of months. And then, certainly, the pipeline that we've been able to build within our Northern Virginia and Maryland portfolios is increasing at a nice pace too. So I think it's a recognition that we're kind of returning to the workplace and a number of tenants are finally focusing on identifying where they want to be.
Jamie Feldman: Okay. And then, I guess unique vantage point with kind of a sizable suburban and CBD portfolio in Philly. And are you seeing any noticeable trends in terms of, with hybrid work are some tenants looking to go - if they are downtown now, they are looking to be in the suburbs or vice versa or not really?
Jerry Sweeney: Not really, Jamie. I mean I think that was - and that's so I think what a lot of pundits were thinking about four or five quarters ago. We stay in really close touch with all of our tenants through our property management and leasing teams. And rare is the discussion where there is a thought about shifting from one versus the other. We just really had George on that. Do you want to add anything?
George Johnstone: Yes I mean, we've seen a handful of downtown tenants actually take a small footprint in the suburbs, so not to give back any square footage in the city, but to have some level of a touchdown space in the suburbs to accommodate workforce commuting patterns, et cetera. But again, they're relatively on the smaller side of the equation and probably not a trendsetting. But it is one of the things that, having the footprint that we do we can offer to the tenants, and then the other attraction we have is our best locations where we have kind of built-out space that can accommodate tenants on an as-needed basis to touch down if there are city workers in the suburbs for the day or vice versa.
Jamie Feldman: And you're seeing more traction with that, the flex office?
George Johnstone: We're seeing a little bit. Yes, where you've got the person who doesn't want to make the drive one day because they've got schooling concern or whatever the case may be, so they take advantage of using the suburban location.
Jamie Feldman: Okay. I know - both of my questions, but just to finish that, I mean, how long are those leases, whether it's the touchdown suburban or even these flex leases?
Jerry Sweeney: Well yes, I mean the touchdown is an amenity that we provide so that's not even a lease situation. The couple of smaller deals that we've seen were three to four years where they entertain a small footprint.
Operator: And our next question is coming from the line of Manny Korchman with Citi. Your line is open.
Emmanuel Korchman: Jerry, I wanted to talk about the redemption of the preferred investment that you guys made. Certainly, a good IRR on that capital invested, but you do lose that income going forward. Are you looking for more preferred deals or sort of what are you going to use that $50 million for now? Thanks.
Jerry Sweeney: Hi, Manny it’s a great question. Look, I think as we - when we announced the transaction, we are always looking for kind of spot opportunities where we can kind of use our local network to identify where we might be able to facilitate an advantageous kind of short-term investment for us. So, to answer your question yes, we continue to look at a number of opportunities. We don't have anything that we're prepared to announce at this point. When we entered into that transaction, we knew that it had the potential to be very short-term, which is why we've built in some of the exit fee arrangements that we did. So it will have a slight impact. I think it's less than 2% as we look at it in terms of 2022, assuming we don't do anything. But certainly, we would expect to be able to find other deployable opportunities for that $50 million whether that's in another type of preferred investment with a high-quality group that needs some bridge financing, or whether that's plowing back into our very active development pipeline or renovating lobbies for a good return on incremental capital, et cetera.
Emmanuel Korchman: And then I want to turn back to your closing remarks for a second. And it sounds like your approach to bringing in institutional capital may have changed a little bit, unless, I'm just reading too much into it? Are you now saying that you're going to go out sort of on more of a per-building or per-project basis and offer that project to institutional partners because there's so much capital out there, or do you think you'd still go into sort of a bigger deal yes to more broadly encompass a large project?
Jerry Sweeney: Yes, I don't think there's any change from before, Manny. So I apologize if my intonation was different. But no look, I think we're dealing with that continual balance between how we take advantage of what we think are extraordinarily good market development opportunities and figure out the right financing platform to do that, being very mindful of our discount to NAV. And the higher cost of our Brandywine equity cost of capital given where the current public market pricing is. What we've seen is that in the private marketplace we can get very effectively price third-party equity well below our weighted average cost of equity capital, while still preserving a significant upside potential for our shareholder base. And that seems to be a pretty good algorithm for us to finance some of these larger-scale projects. So same process, same program, same objectives as last quarter.
Emmanuel Korchman: And then, one last one for, I don't know if it's for George or for Tom. You mentioned a few impairments or write-offs on the collection side. Any more details on what encompasses that? Tom, I think you said it was $700,000, but what types of tenants or geography or whatever other kind of color you can provide?
Tom Wirth: Yeah. It was a combination of a couple of tenants that were in the retail sector. And it was one tenant that was in Austin, but it wasn't a trend and there wasn't a number of them, but a couple of retailers, or I would call non-office users and one office user.
Emmanuel Korchman: But it looks like your collection dipped on the office side, not necessarily on the other. So was it just that the bigger part of that was the office user?
Tom Wirth: Yes. That was a bigger part of the office user, take us down a couple of basis points.
Emmanuel Korchman: Thank you very much.
Tom Wirth: Thanks, Manny.
Operator: Our next question is coming from the line of Steve Sakwa with Evercore ISI. Your line is now open.
Steve Sakwa: Thanks. Good morning. I wanted to just maybe piggyback off of Jamie's question. And you guys signed a lot of leases in the quarter and I'm just curious, Jerry, if you could sort of talk about space planning and how these companies are designing the new space and what the densities of that new space look like or what they're planning for versus maybe the space they were coming out of?
Jerry Sweeney: Yeah. Good morning, Steve. Yeah. I will tell you there is no discernible trend line that I could quantitatively identify for you. It still seems to be very anecdotal and company-specific. I think we are seeing a number of tenants as evidenced by the number of expansions we've had, continued to grow their business and their physical footprint as they bring on more employees. I think we are seeing, again, anecdotally without being definitive, more space per employee, larger workstations, a higher percentage of fixed wall offices, be they partition or demising walls, more but smaller conference centers, wider circulation areas, We're not seeing, which I think is really important trend that we are watching is, we're not seeing a lot of tenants looking at hot desking or shared workstations. I think that was one of the things we're really tracking very carefully, Steve And with very, very few exceptions, we're not seeing that at all in any of our tenants, even those that are looking at a hybrid work schedule. The exception is a tenant who wants to eliminate personal workspaces for each employee within their office. I don't know George do have any other observations?
George Johnstone: No. I mean you touched on most of them. I think the bottom line takeaway is that it hasn't really changed I think, but for maybe smaller gathering places and wider turning radiuses within the space.
Jerry Sweeney: I think, Steve, honestly, a lot of tenants are, it's kind of wait and see, particularly larger companies are trying to think through what the return to work timeline and configuration looks like. So we're doing everything to stay in front of every single one of our tenants. As you know, we have a really talented internal space planning team within the company. They are in constant communication with both existing tenants and new prospects. And I think the trend lines that they're seeing are the ones we just articulated.
Steve Sakwa: Great. And then, as maybe a follow-up, you mentioned the good demand that you're seeing there on Broadmoor. I think you said the pipeline was maybe about 500,000 feet and there was another maybe 1.5 million of inquiries. And without naming names, can you sort of maybe just describe the types of tenants and are these tenants that are sort of already in the Austin market, or these potential relocations that are maybe looking at moving the entire business or parts of the business into Austin?
Jerry Sweeney: The bulk of them, Steve, are tenants who have some element of a footprint in Austin, they're looking for significant expansion, primarily tech tenants, but it's kind of interesting. I mean the pipeline of active prospects in Austin - throughout Austin is close to 260 companies, about 40 of those are kind of technology companies, but you also have over 20 financial service companies, over 22 life science companies. So I think what we see in the marketplace is again it's slower than we would like, but a nice return of major prospects looking for higher quality new development space. And we think by launching that first phase at Broadmoor with our partner, we will be able to really get ourselves in the game for some of those larger prospects.
Operator: And our next question coming from the line of Craig Mailman with KeyBanc Capital. Your line is open.
Craig Mailman: Jerry, maybe can we just go back to the $0.07 to $0.10 you noted, 40% of that is done. Just given what you guys have in the leasing pipeline and prospects there, kind of when do you think you get the other 60% put to bed?
Jerry Sweeney: George and I can tag team this. I mean I think the biggest variable there is really the delivery pace in our 1676 Northern Virginia property. I think with the Austin piece put away, the PA suburban piece put way, we have some very good leasing prospects for a couple of holes within the Logan's in Philadelphia. The major variable really, Craig, is the rate at which we can accelerate the absorption in 1676. I mean, there we have a very, very healthy pipeline. The market, as you well know is very competitive. We've been aggressive in meeting the market in terms of pricing and concession packages. So as I look at that schedule of our key vacancies, as you look at all the time, the major variability is the lease up of that. Commerce Square, which we again have - it's not wholly-owned. We have a joint venture. That's our second largest exposure. And I think there the team is really doing a very good job chipping away at those larger vacancies. The challenge we're facing right now in Philly in that is that there's not a lot of larger tenants. So most of our tenants are kind of in that, George, 8,000 to 20,000 square feet range?
George Johnstone: Exactly. And I think you saw evidence of that in the fact that we signed three leases this quarter that totaled just about 30,000 square feet. So it's kind of singles and doubles to kind of continue to chip away at it. So again, I think the two big holes really are, as Jerry mentioned, 1676 on the wholly-owned side and then, obviously, Commerce. Now, the one benefit that we have at Commerce is that, some of those upper floor plates are only 15,000 square feet in size, so you can kind of get a medium-sized tenant and kind of knock out the entire floor.
Craig Mailman: Got you. And of that $0.07 to $0.10, what is 1676 like as a percent of that?
Jerry Sweeney: It is probably about 40% of it.
Craig Mailman: Okay. And then, separately, the mark-to-market you guys have been getting has been pretty good and capital costs have been low. So net effectives seem to be doing okay here. I'm just curious, as you guys are going out at Schuylkill and Broadmoor, kind of what's the tenant reaction to rents you guys are asking for there? I know they are surprised, there is not as many prints in the market these days for tenants. I'm just kind of curious in your confidence in getting those underwritten rents.
Jerry Sweeney: We feel very good. And actually, one of the projects we have is 250 in Radnor and there we were targeting rental rate range, which we are very much in the throes of getting with some of the leases we have under negotiation. And the proposal we have outstanding both at Schuylkill Yards and in Austin, both at 405 and pending discussions at Broadmoor, we don't really see much resistance at all to meeting our pro forma rental rates. And I think the marketplace recognizes that new high-quality construction costs money to build and construction costs have been escalating. And I think given the tone of a lot of the prospects we talk to, Craig, that are really focused on top quality space to bring their employees back to, we have yet to see an erosion that would lead us to downtick any of the rental rates that we're asking for. So I think we feel pretty good about where we're positioned. Certainly very well positioned versus our competitive set in all those markets.
Craig Mailman: No. That's helpful. Maybe slip one more in here like on Block A, which you guys expect to start. I mean, just given supply chain issues, where are you guys on procuring materials?
Jerry Sweeney: Yes. To refresh your memory, before we start a project, we'd gone through the full pricing exercise, have negotiated a full G&P that breaks - that is really predicated upon subcontractor bids and in those bids what their delivery timelines are. So whether it be a Broadmoor or the experience we have here up at Schuylkill Yards West or 250 which are the active ones underway, we don't really anticipate any issues on the supply chain. Our major components, Craig, be it steel, glass, and in some cases plumbing, we do early release packages, get ourselves in the queue for delivery cycles that meet our critical path. So on the projects we have underway, we believe we're in very good shape from a supply chain issue.
Operator: Our next question coming from the line of Michael Lewis with Truist. Your line is open.
Michael Lewis: Great. Thank you. A couple of - you touched on cash flow growth and kind of limited capital expenditures. I noticed the low TIs and leasing commissions on the leasing you accomplished this quarter. I'm just wondering was there a concerted effort to try to do more direct deals without brokers as much as possible or was that just something that happened to be the case this quarter and not really a change in strategy at all?
Jerry Sweeney: Yes. Not really a change in strategy. I think sometimes these quarterly results are a bit episodic there. So I think it's really a function of - I mean, our approach has always been to work as closely as we can with our tenants. We always respect the brokerage market and the value they can bring to the table, but to the extent that we have an opportunity with a long-standing tenant to pre-negotiate a direct deal that's certainly a key part of our landscape as well. There is no real change in the way we've normally conduct business.
Michael Lewis: Thank you. And my second question is kind of big picture and I want to leave it a little open-ended for you. But as I have conversations with investors, we talk about the recovery in leasing and you went into detail on your pipeline. But the counter is that occupancy has been falling, and similarly, you've got the strong kind of mark-to-market that looks durable as we look out, but the counter to that is, market rents are falling. And so I know in your guidance you're projecting some occupancy recovery. What do you think - as we look out the next several months, I mean do you think the narrative in office and for Brandywine is occupancy under pressure and market rents kind of struggling to find their footing? Or do you - given what you're seeing and some of the optimism in the leasing environment, do you think we're close in this narrative a little bit where occupancy can stabilize and market rents can stabilize? And given the fears from work from home and all these other things going on that we could start to kind of find our footing here in the next few months?
Jerry Sweeney: Yes, and we will tag-team it, Michael. Look, it's a great question and certainly, the state of our near and long-term office conditions is certainly near and dear to our hearts every day. We're actually pretty pleased with what we're saying I think if you go back, the narrative four to six quarters ago was that the sky is falling, rents are going to collapse, there'll be no tenants looking for space. We're actually seeing the opposite. We're actually seeing the unifying element of people working together in a physical space as a key driver of what a lot of these prospects are looking for. The sub-lease market, at least in the markets we're in, continues to decline in terms of available square footage. We have not seen any real - any decline in net effective rents. I mean, certainly, some sub-markets remain very competitive. We're just talking about Northern Virginia that's a very competitive market. So but we haven't even in that market seen a real diminution in effective rental rates versus where they were a couple of quarters ago. So if you think about what we're doing strategically, at least tactically, at a leasing level, we are in front of every one of our tenants and one of our major goals going back a year was to reduce our forward rollover exposure through 2024, so to buttress ourselves in the event that there is some gray clouds. We've done that and we have our forward rollover exposure less than 7% through that time period and below 10% through 2026, which we feel really positions the platform for growth. Running our portfolio in the low 90% occupancy is not where we want to be. We want to get it back up into the mid-90%s and just deal with frictional vacancies and we think we're in a path to do that. I think if we take a look at the forward rollover exposure. We feel pretty good about our major tenancies. The pipeline, again, I think is reflective of tenants looking more and more carefully at the quality of the space they are moving into and I think our inventory across the board - forget our development projects for a moment, but across the board really does resonate very well both from a current quality set and from the on-site property management, engineering, and maintenance services that we provide to our tenants. That stuff is very meaningful to our tenant prospect list right now. They want to know that they are dealing with a hands-on landlord that understands the building, has a multiple-year track record of investing capital in the building. And I think that creates the leasing momentum that will build our pipeline. And certainly, as evidenced by with the numbers we posted thus far, we would expect to continue to see rent stability and an improving pipeline for our portfolio.
Operator: And our next question is coming from the line of Anthony Paolone with JPMorgan. Your line is open.
Anthony Paolone: Yes thanks. My first question just follows up on the occupancy discussion there and more specific to 2020. Look at, you have one big lease rolling, bigger [indiscernible], and you've got half of that backfilled. We can see the expected commencements that you show in the supplemental and you talked about the pipeline. I'm just trying to understand like, what are we not seeing so it would seem like occupancy should actually go up in 2022?
George Johnstone: And we think it will. So look, I think a couple of key contributors. Remember, the vacant space at 1676 is 134 basis points of occupancy. So, filling that hole, certainly, moves the needle. The forward leases that we have and we have a number of them on space that we know the in-place tenant today is leaving and we've leased it to somebody new. And that was one of the reasons why we did change the presentation of our expirations on Page 19 of the supplemental. So that, we can start to kind of reflect where gross expirations have been netted by some additional new leasings so and I think the one you cited is a perfect example where Baker given us back four floors. We've leased two of them. We've got a lease out to another tenant for a third of the four floors. And then, the last one we have a proposal out to a potential life science user and a proposal out to a potential office user. So I think the occupancy gain, it's really not having these large move-outs that we've kind of suffered from in the past. So staying out in front of those expirations and then plugging away on 1676, that makes the most impact.
Anthony Paolone: And then just my second question I know it was fairly quiet quarter in terms of acquisitions, dispositions, but you talked about the liquidity in the market. Would you be able to go around the horn in terms of suburb, CBD, Austin, Philly, and some of your key segments and give a hazard as to where cap rates might be?
Jerry Sweeney: Sure. I'm not sure there's really been any perceptible change since previous quarters. Certainly, I think starting down in Austin. I think certainly, we are seeing office cap rates in the 5% plus range, multifamily cap rates below 4%. We've seen a couple prints even below that. Yes D.C., I think, depending upon the duration of the leases in place and in Northern Virginia and Maryland marketplace I think, you're seeing cap rates kind of in the 7% range. And up here in Philadelphia, I mean, there have been a couple of trades in the suburban space well below 7%. And there have been - I am trying to think if there has been a trade of any note downtown in the last quarter or two. There really hasn't been, but the last cap rates and there were kind of between 6% and 7%. So I think we're actually seeing - I alluded earlier to the amount of private equity. Certainly, with debt costs being where they are and projected to stay that way, that has really fueled I think a lot of interest in office product. I think certainly a number of institutions - based on feedback we're getting from a lot of the big investment brokers and our own conversations, we're certainly seeing that a piece of institutional capital is looking at the pricing in a couple of their market segments, be it multifamily, be it industrial. And recognizing that cap rates are at historic lows and starting to rotate some of that capital availability back into office which we do think - if you connect the recovering demand side of the office business with the low-interest rate and capital availability side, I think it does portend that you're going to see continued downward pressure on office cap rates over the intermediate term.
Operator: Our next question is coming from the line of Daniel Ismail with Green Street. Your line is open.
Daniel Ismail: Jerry mentioned a few times in the call the resiliency of rents and demand across your footprint. I'm just curious how that translates into property taxes and assessments in the near term and how that differs perhaps between Philly and Austin? Thank you.
Jerry Sweeney: Okay George?
George Johnstone: Yes, I think we haven't really seen a lot of pressure on tax assessments yet. I think some of that should be expected because I think as a lot of these municipalities and cities try to right-size some of their budget deficits it could be something we have to contend with. But both Philadelphia and in Austin, the nature of the leases, triple-net now, that still puts overall pressure on occupancy costs. But we haven't seen it come through thus far, but we certainly are on top of assessments. We've seen a number of school board reverse appeals because again you've got city budgets, school budgets, county budgets, all kind of competing for dollars.
Operator: And I'm showing no further questions at this time. I would now like to turn the call back over to Mr. Sweeney for any closing remarks.
Jerry Sweeney: Great, Olivia thank you for your help today and thank you all for joining us for our third quarter 2021 earnings call. Stay safe, stay well, and we look forward to updating you on our Q4 results after the 1st of the year. Thank you very much.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.